Operator: Hello, everyone. Thank you for standing by. Welcome to PT Indosat Tbk FY '25 Earnings Conference Call. [Operator Instructions] Please be reminded that today's conference call is being recorded. I would now like to turn the call over to your first speaker today, Pak Indar Dhaliwal. Thank you. Please go ahead.
Indar Dhaliwal: Thank you, Desmond. Good afternoon, everyone, and thanks for joining us on the call today. With us on the call today, we have Pak Vikram Sinha, our Chief Executive Officer; Pak Nicky Lee, our Chief Financial Officer; as well as Pak Bilal Kazmi, our Chief Commercial Officer. I will now hand over the call to Pak Vikram for his opening remarks. Over to you, sir.
Vikram Sinha: Thanks, Indar. Good afternoon, everyone. I am pleased to report a strong set of numbers in the fourth quarter of 2025, delivering on our guidance as promised for the full year. This means that we have ended the year on a solid trajectory heading into 2026. If you look at the next slide, here are some of the key highlights of our fourth quarter of 2025, where we are seeing strong performance across both financial and operational metrics. Revenue grew strongly during the quarter, and our EBITDA grew faster than revenue, reflecting our continued focus on profitability. And we have delivered strong net profit as we continue to deliver value to all our stakeholders. The key reason for our strong performance is our core cellular business is our customer ARPU, which grew 11% quarter-on-quarter to IDR 44,000, which is the highest level since merger. ARPU remains Indonesia's biggest opportunity, and we are pleased to report continued positive momentum on ARPU heading into 2026. Our initiative that we have -- we continue to deliver such as AI-powered hyper-personalization and our focus on delivering marvelous customer experience powered by strong network was the main reason driving this strong ARPU growth. We still see a lot of upside for ARPU, and we are committed to fully realize this opportunity. If you look at the next slide, one of our key initiatives launched in 2025 was our AI-powered 360-degree scam and spam protection. Scams are a huge customer pain point with more than 66% of Indonesian encountering a scam in the past 6 months, and this is a USD 5 billion issue in the country. Our solution has been in offering AI protection through an agentic platform that has 99% efficacy in detecting scams and spams. This protects customers across all channels, including voice, SMS, VoIP, WhatsApp and any popular medium. This is one of the key efforts in building our reputation as Indonesia's most trusted telco. And to date, we have delivered 100% protection to covered customers with more than 2 billion scams and spam prevented. This product is delivering us positive feedback and helping us to improve ARPU and lower our churn. This quarter also marked a landmark first step towards establishing our FiberCo along with our strategic partner. Through this transaction, we are positioning ourselves for future growth, especially in the fiber-to-home business. The 3 key objectives that this transaction give us are: number one, monetizing our asset to unlock value. In Q2, Q3, we will be receiving -- IOH will receive USD 700 million. The other important point on this partnership is that now we have a partner with deep local expertise, which will help us grow our FTTH business, but at the same time, we retain operational control over this FiberCo. The other important initiative for us is our AI Neocloud platform, which was established in 2025, we set the foundation for our future growth in 2026. Our current capacity is fully contracted with USD 28 million revenue booked in 2025. We continue to enhance our full stack capabilities along with global giants as NVIDIA, Google and others and look forward to sharing more development on this in 2026. This solidifies IOH as an investment proposition with our core performing well, and we aim to unlock further ARPU potential and drive sustained growth on mobile. The value of our fiber asset is being realized and positioned for future growth and expansion, and our Neocloud platform is set for scale in 2026 to capture the growth opportunity in AI. Finally, our guidance for 2026, where we aim to grow both revenue and EBITDA mid- to high single-digit level and our planned CapEx spend is around IDR 13 trillion. I will now hand over to Nicky for more detailed financial presentation.
Chi Lee: Thank you, Pak Vikram, and good afternoon, everyone. I'm delighted to report another solid set of results for the fourth quarter, where we have continued the positive momentum from the previous quarter. Our fourth quarter revenue grew 9.3% quarter-on-quarter, driven by an increase in cellular revenue as we continue executing our strategy to accelerate growth through AI and enhanced network experience. Additionally, MIDI revenue contributed to this performance, underpinned by our Neocloud revenue. Below the revenue line, we delivered 11.6% quarter-on-quarter expansion in EBITDA, which outpaced revenue growth, reflecting our strict focus on cost leadership for growth. I will elaborate more on OpEx on our cost in the OpEx section. As a result, our EBITDA margin rose by 1 percentage point to 47.2%. Normalized net profit increased by 51.2% quarter-on-quarter, largely reflecting the higher EBITDA and an operational one-off gain below EBITDA. The one-offs include a IDR 142 billion high gain on investment at fair value through profit and loss based on an independent valuation. Our net debt-to-EBITDA ratio declined by 0.1x to just 0.39x, underscoring our commitment to maintaining a healthy balance sheet. If we move on to the next slide. For full year 2025, reported revenue increased by 1.1% year-on-year, supported by growth in both cellular and MIDI revenue. The same factors I have highlighted earlier drive the -- behind the quarter-on-quarter improvements mentioned earlier drive such improvement. Combined with continued cost leadership initiatives, this resulted in EBITDA growth of 0.8% year-on-year while maintaining a fairly stable EBITDA margin at 47.1%. At the bottom line, net profit increased year-on-year on both reported and normalized basis by 12.2% and 11.6%, respectively, primarily reflecting the flow-through effect of high EBITDA, one-off prior year tax reversal as well as operational gains arising from gain on the investment at fair value through profit and loss, gain on disposal -- asset disposals and early site lease terminations. We saw increased spending compared with both prior year and the previous quarter, driven by the strengthening momentum of our growth trajectory as we continue to capture and scale the emerging opportunities. Cost of services rose by 3% quarter-on-quarter, primarily driven by installation and partnership costs, supporting higher MIDI and VAS revenue. On a year-on-year basis, cost of services increased by 5%, similar to the quarterly trend. Personnel costs grew by 39% quarter-on-quarter, largely to do with higher variable pay for performance. On a year-on-year basis, though, they declined by 11%, again, reflecting lower variable pay components such as bonuses and incentives compared to the prior year. On marketing expenses, it increased by 16% quarter-on-quarter, largely due to subscriber acquisition and year-end seasonal promotional activities to support revenue growth. Again, on a year-on-year basis, marketing spend declined by 16%, reflecting a strategic shift towards more targeted and cost-efficient digital marketing initiatives. G&A expenses quarter-on-quarter is flat on a Y-o-Y basis, they increased by 9%, mainly driven by higher consultancy charges to support business growth. Overall, for full year 2025, OpEx increased by 1.4% year-on-year and 7.3% quarter-on-quarter, highlighting disciplined cost leadership to support and sustain our growth trajectory. Depreciation and amortization expenses increased by 2% year-on-year and 1% quarter-on-quarter due to the addition of fixed assets for network rollout to support medium- to long-term growth. In quarter 4, other operating income recorded a net income of IDR 131 billion compared to IDR 78 billion in the previous quarter. This variance was primarily attributable to gain on investment, as I highlighted earlier. On a year-on-year basis, prior year tax provision reversal and operational one-off gain contributed to an increase in other operating income from IDR 21 billion in 2024 to IDR 509 billion this year in 2025. Moving on to take a look at CapEx. It reduced by 22% quarter-on-quarter to IDR 2.54 trillion in Q4 last year due to the timing of one-off credit notes from vendor. Our full year CapEx realization of IDR 13.3 trillion was in line with our guidance. We delivered a solid improvement in our capital structure with net debt reducing 1.4% year-on-year and 18.9% quarter-on-quarter. Stronger EBITDA further enhanced our leverage profile, driving 0.01x year-on-year and 0.1x quarter-on-quarter reduction in our net debt-to-EBITDA ratio, respectively. Thank you very much. And I will now hand over to Pak Bilal for the operational performance update.
Syed Kazmi: Thank you, Pak Nicky, and good afternoon to everyone. I think the headline from a commercial standpoint is positive operational trends. These are driven by solid data traffic growth, 7.6%, translating into very strong ARPU growth over a stable mobile base. What is also important to report is that our home broadband base customer grew by 24,000 customers, which translates into a 6.6% growth quarter-on-quarter. But we are also very, very excited about monetizing the impact of our 5G footprint, which now covers 24 cities in the country. In a country as big as Indonesia, one of the biggest opportunities is fixed wireless access. And there, we would like to offer our customers high-spec 5G equipment, coupled with -- I mean, you would note that for FWA, the onboarding [Technical Difficulty].
Indar Dhaliwal: Operator, can you hear?
Operator: Yes, we can. We lost a little bit of audio earlier on from part. It will be best if we can restart the present.
Syed Kazmi: I think we can move to the Q&A probably just from a time standpoint.
Operator: [Operator Instructions] Our first question come from Piyush Choudhary from HSBC. Unfortunately we cannot hear from the participant. Allow me to move on to the next question. [Operator Instructions] Our next question come from the line of Sukriti Bansal from Bank of America.
Sukriti Bansal: Congratulations on the good quarter. Just a couple of questions. Firstly, on ARPU, we've clearly seen strong growth to IDR 44,000. Can you remind us what is the exit ARPU looking like? And in terms of month-on-month, what was the trend from October to November, November to December a little bit? And also, how are we looking in January? And what is the expectation going forward? And secondly, on the MIDI revenue, clearly good growth. But in terms of GPU as a Service contribution, can you remind us for the full year and for fourth quarter, what is the final contribution that we had from this business? Because it still looks a little bit lower than what we were expecting, I think, for the full year. Also, if there's anything you can share on what is the EBITDA that we've observed from this business? That's all from my side.
Operator: Thank you for your patience. We seem to have lost the speaker's line. Allow me to check and the conference will resume shortly.
Indar Dhaliwal: Desmond, can you hear us?
Operator: Yes, we can. Please continue. We have a question from Sukriti Bansal.
Indar Dhaliwal: Just before we go into the question, apologies, we had a bit of a technical error. I think let's just start the question-and-answer flow again. So Sukriti will be the first question, and then we'll go back to whoever's question that we missed earlier. Go ahead, Sukriti.
Sukriti Bansal: A couple of quick questions from me. Firstly, on the ARPU, strong growth in 4Q at IDR 44,000. Can you remind us what is the December -- what did the December exit ARPU look like? And also month-on-month, what were the trends like? And how is ARPU looking going into 1Q. Also in terms of the MIDI revenue, again, strong growth in 4Q, but it was expected that most of the GPU as a Service contribution will be coming a large part in 4Q. So can you remind us what was the final contribution from this business for 4Q and for the full year? And what is the EBITDA that we've observed from this business for the full year? And also what is the expectation going into 2026 for contribution from this business? That will be all.
Vikram Sinha: Sukriti, this is Vikram. Let me start with the ARPU. I think as you saw quarter-on-quarter growth was very strong, grew 11% on a steady pace because we have seen lot of symptoms [indiscernible] in the market which is good for the [indiscernible]. As now getting at around IDR 44,000, IDR 45,000 monthly ARPU and we see a good momentum we have brought into February. So [indiscernible] see lot of upside on ARPU and based on we need to focus on that especially some of our initiative on AI led hyper-personalization in some of the products like spam and scam is also [indiscernible] overall ARPU was in the positive [indiscernible] this is what I can say. Nicky you want to take it?
Chi Lee: Certainly. For GPU, the Q4 revenue is around $20 million. So the outlook for 2026 would be about $50 million to $60 million based on the current contract, but we are very confident that we will get before that happens, this is a number I can share.
Sukriti Bansal: Understood. And any outlook on the EBITDA that we had from this business?
Chi Lee: We don't share the margin for the contracts.
Operator: Our next question comes from Piyush Choudhary from HSBC.
Piyush Choudhary: Congratulations management on stellar results and strong recovery in mobile ARPU. Firstly, on the mobile segment, could you tell us whether all the initiatives which you undertook in 4Q is kind of reflected in the ARPU or you are experiencing kind of sustained growth going into 2026? And when can we expect subscribers to stabilize and start growing? So that's the first question. Secondly, on the cost side, are there any one-off items in fourth quarter? We observed rental and services cost is down 29% quarter-on-quarter. What led to it? Is there any one-off here? And any like cost kind of investments in 2023 OpEx investments because your guidance suggests of a stable margin year-on-year. So any color there will be helpful.
Vikram Sinha: Let's start with the cost.
Chi Lee: Yes. On the cost, Piyush, we have used to have some ups and downs true-up adjustments, things like that. So we have some of those in Q4 also, not that we don't have adjustments in Q3, right? So you are seeing some of those impact reflected in the lease cost.
Vikram Sinha: Piyush, this is Vikram. I think on the mobile segment, our initiative, especially on the AI hyper-personalization, it is all data is getting trained and it is getting more effective. So I'll see -- what I'll say is we see much more opportunity getting into 2026. The other important thing to highlight is we have seen significant improvement on our churn also, especially greater than 180-day lease. So overall, we see much more opportunity and upside on ARPU and early days of Q1 also is trending on that direction. In terms of base, I think one good thing which is happening on the market with much more discipline on SIMs is a bit of a consolidation of rotational customers. So we see a very strong momentum on our daily DLR -- daily data unique users. But in terms of reported number, I think it's more of a base which last quarter, we lost around 0.5 million customers. But from an overall, it is looking very solid. And again, we will -- our aim is to have both progressive base and progressive ARPU.
Piyush Choudhary: This is very helpful. Just going back on the cost side, is it possible to call out how much was the one-off adjustment in fourth quarter, like a positive attribution? And is it right to think that you are suggesting of a flat margin for 2026 from a guidance perspective?
Chi Lee: Yes, Piyush, we will come back to you. I don't have the number in front of me. In terms of the guidance, we don't feel there will be a significant movement. We improved the EBITDA margin by 1%. But we will need to see how the revenue mix will change and all that. We'll give more color in the upcoming quarters.
Operator: Next question, we have the line from Sachin Mittal from DBS.
Sachin Mittal: Congrats management on, I think, 11% quarter-on-quarter ARPU, which is probably waiting for the results, I think higher than the industry. Two questions here. Firstly, when we look at the guidance, it's like mid-single digit to high single digit, while the ARPU is actually almost double digit. So trying to understand what are the levers to watch for? What could take it to high single digit and what could take it to mid-single digit? Is it mobile? Is it MIDI? Just to understand what to monitor from mid-single digit to high single digit, what are the variables given that ARPU is already quite solid. Secondly, could you also disclose a little bit on the expected dividend payout, how to think of the payout for this year? And any color on the dividend will be useful.
Vikram Sinha: Sachin, this is Vikram. I think we wanted to stay very conservative in terms of our guidance. Last year has been a great year for learning. So we live in a very uncertain world. So we don't want to overguide. That is why we have been conservative on mid- to high. That is what I say. But ARPUs and the EBIT into the year is looking very rock solid. All our fundamentals are very rock solid. So things are heading towards close to double digit. But again, we want to not overguide the market. That is what our approach will be, number one. Number two, on dividend, while we have -- you must have seen that the net profit -- dividend is linked to net profit, there is a solid increase on year-on-year. And we have our policy on dividend very clear that we want to go up to 70% by 2028. Nicky, you want to add to that?
Chi Lee: Yes. Sachin, I just share on dividend. So we've published our dividend policy last year for -- full year 2024, the payout was 55%. So our intention is to raise the payout ratio gradually to 70% for the year 2026. For 2025, we need to go through our process to determine it will be higher than 55%, but less than 70%. So somewhere within this range. But with the much better net profit, the payout -- the actual dividend should be much better than 2024.
Operator: Next question, we have the line from Ranjan Sharma of JPMorgan.
Ranjan Sharma: A couple of questions from my side. Again, starting with the guidance. If I just analyze your fourth quarter revenues and EBITDA, we should get to like an 8%, 9% growth in revenues and EBITDA in 2026, but your guidance is like mid- to high single digit. I mean, should we expect low growth in quarterly revenues from the fourth quarter onwards? Just trying to think how are you thinking about the guidance? The second question is, as you spin off the fiber assets, I believe you are no longer going to be a majority shareholder in this. So is it fair to assume it's getting deconsolidated? And what is the impact on revenues and EBITDA from the change in accounting? And the last question is a housekeeping question. If I look at Slide 14 of your presentation, you talk about normalized profit of IDR 1,993 billion for the fourth quarter. But if I look at Slide 24, you disclosed a net profit of IDR 1,930 billion. I know it's not material, but I just want to understand what the difference is.
Vikram Sinha: Ranjan, this is Vikram. On guidance, I think we are trending towards 9%, 10% growth. So there is no reason we should go below that. But again, learning from last year, we just want to be a little prudent on early days of a lot of recovery on micro, we have seen domestic consumption getting better. So we want to watch out for this a little more. We had a very painful year last year, especially lower value customer, middle class, they were optimizing. So in quarter 4, we have seen early signs of recovery, and we expect more to come, especially on domestic demand. That is the only reason why we have put it mid- to high single digit. But today, as we speak, we are trending towards double-digit revenue growth. You want to take spin-off asset?
Chi Lee: Yes. Ranjan, on the spin-off asset, the revenue will not be impacted and the impact on EBITDA would be fairly small. It will be low single digit on EBITDA.
Vikram Sinha: I think Ranjan, the important thing to note is this is a very strategic transaction, which we have done, while we have been able to retain our operational control, but at the same time, we will be not consolidating. So we are in the process of finding to closing. We expect USD 700 million to IOH between Q2 and Q3, basically the timing of the closing. So you will have to wait for a little more to have the full color. But as Nicky said, the impact on EBITDA will be very small. But overall, this will help us significantly unlock a lot of value for IOH.
Indar Dhaliwal: Ranjan, just on your third question, let us get back to you after the call on the net profit.
Ranjan Sharma: Got it. Maybe a quick follow-up for Pak Vikram and Nicky. You are saying that there won't be any impact or there won't be any material impact on revenues and EBITDA from the deconsolidation, but you're getting $700 million of proceeds. So are these assets not generating revenues, but you're still able to get $700 million from them? That seems to be a pretty strong statement.
Vikram Sinha: Yes. For revenue, we are confident. On EBITDA, Nicky will update you as we come closer. But yes, this is what I have been telling that there's a significant value unlock, which we are doing.
Chi Lee: Yes, there will be some impact, Ranjan, on EBITDA as well as on EBIT, right? So -- but it's not like a huge impact because we also get savings, there wouldn't be like the maintenance cost that we need to going forward, right? So it's a mix of the net impact from various factors.
Ranjan Sharma: But the impact can only be positive then, right, if these assets are not generating revenues and there can only be some costs associated with them. And now you're deconsolidating it, so the EBITDA would go up.
Vikram Sinha: No. IOH will have to pay to [ Alpata ] for some of the services, which we will take from them. This is like the sale and leaseback.
Operator: We have the next question from Arthur Pineda from Citi.
Arthur Pineda: If I can just ask with regards to the licensing for 5G. I'm just wondering what your engagements are with the government expectations timetable [Technical Difficulty] to happen this year or next year?
Indar Dhaliwal: Sorry, your voice is breaking up. You were asking about the spectrum auctions for 2026 and the time line. Is that right?
Arthur Pineda: Yes. Any clarity on that?
Vikram Sinha: Arthur, this is Vikram. So we are expecting in Q2, 700 MHz and 2.6 MHz to be auctioned. That is what we are getting from the regulators for now.
Arthur Pineda: Any discussions with regard to pricing or payment models for the auctions?
Vikram Sinha: Look, we don't want to speculate on all those things. They have been always telling that they will look into making it better. But for now, you have to take it as a base case, the way Indonesia has been.
Operator: I think we have a follow-up question from Sachin Mittal from DBS.
Sachin Mittal: Just a follow-up question on the balance sheet. Now that we are waiting for proceeds from the fiber divestment, even then actually our balance sheet is below 0.4x net debt to EBITDA. And the cash proceeds are there I mean balance sheet is maybe too healthy materially at this point. How do we plan to use the balance sheet to further accelerate the growth? Maybe if that's the way to think about it. Of course, GPU as a Service is a big opportunity. Could you just throw some light here if balance sheet can be used to accelerate because I think the demand seems to be quite huge in this business. The question is supply, right? Yes. Any color will be good in terms of balance sheet or GPU as a Service, if they can -- how they can be used together to further accelerate the growth in the, I don't know, near term or medium term?
Vikram Sinha: Thanks, Sachin. You are right. We have a very healthy balance sheet. I think the good news is also the 5G cycle, we are seeing the cost of radio RAN coming closer to 4G. So again, we are in a very good place to unlock new opportunities, especially GPU as a service. Having said that, we are working on a few models. You will have to wait for another quarter. But one thing I can tell you that we are getting a lot of interest from both regional and global customers because we have been able to maintain the capability of running workload for AI cloud, and we will, for sure, unlock this opportunity. How we use our balance sheet, we do off balance sheet, you will have to wait for one more quarter.
Operator: We also have a follow-up question from Piyush Choudhary of HSBC.
Piyush Choudhary: I have 2 questions. Firstly, your interest expenses are kind of trending down. Just want to confirm if you can highlight, has there been any refinancing at a lower rate? And how should we think of this given you have very strong balance sheet and you [Technical Difficulty] now? So that's the first question.
Chi Lee: Piyush, this is Nicky. Yes, yes, we get savings from many different aspects. Yes, interest would be one of them. So we've been able to secure better pricing from banks following the expansion in our business. Our balance sheet is very healthy. So best to have the banks trusting those set and willing to offer us better terms and better pricing. And also our debt is not heavy also on the balance sheet.
Piyush Choudhary: Right. Could you share, if possible, what's like the latest funding cost for you?
Chi Lee: Yes. I think we have shared the details in the notes if you are interested to read those details. So it's very transparent.
Piyush Choudhary: Okay. And second question on GPU as a Service, where you mentioned current contracted revenue is $50 million to $60 million for 2026. I recall in the last -- in the third quarter, we were talking about $75 million number for 2026. So if you can help us understand like what changed? And this $50 million to $60 million is now contracted for 2 years, 3 years? Like what's the time frame here?
Vikram Sinha: Piyush, this is all 5-year contract. So all these are minimum 5 years. Some of them will extend into 7 years. I think there is a bit of a 1 quarter slip over in terms of timing because of supply chain issues. There's also a lot of constraint on managing the end-to-end supply chain when it comes to Neocloud. So that is the delay, which is rolling over for next year also.
Operator: We also have follow-up questions from Sukriti Bansal.
Sukriti Bansal: Two quick questions again from my side. Firstly, again, on the GPU as a Service. So is there any guidance for the CapEx we'll be incurring in 2026 on this business? And second question is on the fiber asset. I think you mentioned that you'll be receiving $700 million in between Q2, Q3 depending on the timing. Wasn't the figure supposed to be $870 million earlier? Has something changed in the transaction? Or did I get it wrong earlier?
Chi Lee: So Sukriti, this is Nicky. So on the Neocloud, we will only need to incur further CapEx when we secure new contracts. And as you would understand, the contracts are quite lumpy. So we have not included CapEx in this respect in our guidance. But for sure, we'll be updating analysts and shareholders going forward on this. On the fiber, $700 million is what we will receive and it has not been realized. I think the number you mentioned is enterprise value. And we still keep a stake in the business.
Sukriti Bansal: Understood. Also, any update on competition in this business? Because from what I understand, one of your peers is Surge (WIFI) is going to launch their IRA very soon at IDR 100,000 packages. Are we already seeing some increase in competition in this business? How should we think about that?
Vikram Sinha: Sukriti, this is Vikram. I think from the very beginning, we are very clear, we don't want to operate in that IDR 100,000 segment. So there is no such competition or anything which we have seen on the ground. And we are not even targeting 100,000 home customers.
Operator: We have a follow-up question from Arthur Pineda from Citi.
Arthur Pineda: Just a follow-up question with regard to the CapEx. For the IDR 13 trillion CapEx guidance this year, does that include the 5G build-out? Or is it the BAU CapEx?
Chi Lee: It is BAU.
Arthur Pineda: So this could potentially rise if you do get the auctions done in 2Q, that's how we should look at it?
Vikram Sinha: I think, Arthur, there will be not significant rise on 5G CapEx because the radio price of 4G and 5G is now converging the RAN price. So -- and sometimes it is good to be late. And also we will be able to offload a lot of capacity to 5G. We are seeing a good surge on device penetration. So not significant rise, but let's wait for it once the spectrum thing and all is done. But what I can tell you at this point of time that it will not be significant rise in the [indiscernible] for 5G.
Chi Lee: And Arthur, if I may just clarify, when I say BAU, we have been rolling out 5G also today in 2025, right? So it's a matter of after -- I don't know what spectrum we will get, right? So -- and at what terms, et cetera. So we will need to review what will be the pace of our 5G rollout post 5G spectrum auction. That's what I meant.
Operator: We are now closing the Q&A session. No more further questions from the line. I would like to hand the call back to the management for closing remarks.
Indar Dhaliwal: All right. Thank you, Desmond, and thank you, everyone, for joining us on the call. Apologies for the technical disruption we had earlier. I hope you got all your questions answered. If you have any more questions, please feel free to reach out, and we'll definitely address them. Thank you, and we'll speak to you soon.
Operator: Thank you. That does conclude today's conference call. Thank you for your participation. You may now disconnect.